Operator: Ladies and gentlemen, thank you for holding and welcome to the Adyen First Half of 2020 Results Conference Call. [Operator Instructions]. I would now like to hand over the conference to Mr. Pieter der Does, the CEO of Adyen. Please go ahead, please.
Pieter der Does: Thank you, and good afternoon, everyone. Before we talk about the first-half results, I'd like to take a moment to talk about the COVID-19 pandemic.  I cannot imagine having a discussion on the first six months of this year that does not begin with addressing the impact that the pandemic has had on the global economy, on businesses and on people around the world, on the team here and on all of our daily lives. I hope that you and your loved ones are safe and that the impact on your well-being has been limited.  With that said, I would now like to give you a brief update on our first half as that's why you're all tuned in. Ingo will take a deep dive into the numbers after my introduction. We will be happy to take any questions after that.  We continue to see profitable growth in the first half of the year as the business has proven itself highly resistant and resilient despite the impact of the pandemic. This resilience is a result of continued diversification across our merchant base, verticals, and regions. Processed volume for the period was €129 billion, with a net revenue at €280 million. Despite the impact of the pandemic, we did see several historical trends persistent on the platform, with volume churn remaining below 1%, net revenue contributions were further distributed amongst regions, and over 80% of volume growth came from existing merchants.  Longer-term trends continue to benefit us as well as we shift from cash to cashless, the blurring of lines between online and in-store sales channels, and the digitalization of commerce continued. Some of these trends were even accelerated by the pandemic. For our merchants, the pandemic meant that they have to adapt fast. We focus on helping them to ensure that they could keep their businesses running and sales flowing. Solving real problems for our merchants has always been a strength for us. I'm happy to see that this did not change.  When stores closed, we helped merchants to move online quickly, even if they didn't have an online sales before. In recent reopening scenarios, We've been able to build several contactor setups, so our merchants could reopen in safety. We were happy to see that large enterprise merchants' interest of partnering with us remained unchanged over the course of the pandemic. We continue to onboard new volume from existing merchants and add new merchants to the platform, too, like iFood and Delhaize.  While our merchants' priorities naturally shifted, it's exciting to see that our success in unified commerce space continued. We saw an upward trend of merchants adding a second channel persist, a real proof of our success in the unified commerce space. On mid-market, we continue to invest in our long-term approach to moving into the next adjacent segment to enterprise. It excites me to see that volumes in this segment are growing at the same pace as our enterprise volume. Remember, it's still early days here.  On the product side, we expanded our global acquiring footprint to Malaysia, and updated our 3DS2.2 product with a whitelisting feature. It also excites me that we are now live with the first Adyen Issuing transactions. We also continue to build the team in the first half. With our intent to capitalize on long-term opportunities and scale, we grow the team chronically and welcomed 266 new colleagues. Onboarding them via video conferencing was quite a challenge, but we are happy to see that this all worked out well. The Adyen team now got 1,448 FTE. Our focus is on measured growth whilst training, so we ensure that we maintain our team culture.  While the entire team adapted quickly to working from home, we did not encounter significant slowdowns in onboarding new merchants, building out the platform or scaling the team. We continue doing what We've done since foundation in 2006, building Adyen for the long term together, not held back by the backlog of global pandemic. This is something I think the whole team is proud of. For more details, you can find our shareholder letter online.  I will now hand over to Ingo to dive into the numbers in more detail.
Ingo Uytdehaage: Thank you, Pieter, and good afternoon, everyone. Thanks for joining the call. Let's dive into processed volume, first. We processed €129 billion in the first half, up 23% year-on-year. Of this €129 billion, €11 billion came from point-of-sale, accounting for 9% of total volume.  Pieter just talked about store closures due to the COVID-19 pandemic, and as a natural consequence, growth in point-of-sale was limited in the first half of the year. Net revenue went up to €280 million, up 27% year-on-year and continue to diversify across regions. Take rate was 21.7 basis points, up from 21.1 basis points in the first half of 2019. This delta is mainly due to the increase in full stack volumes following the negative impact of global lockdown restrictions on airline volumes. OpEx were €153 million for the first half, representing 54% of net revenue and up 44% year-on-year as we continue to invest in Adyen for the long-term in the team and marketing. Employee benefits are the main driver behind the increase in OpEx as we made significant investments in scaling the team to capitalize on long-term growth opportunities.  EBITDA was €141 million in H1 2020, with EBITDA margin at 50% down from 57% in the first half of 2019. This decrease is mainly a result of our increased hiring pace as employee benefits exceeded net revenue growth in the first half of the year. CapEx were 2% of net revenue in H1, down from 4% of net revenue in H1 2019. The low cost of operating the single platform allows for maintaining a low CapEx level. On to our guidance. Our financial objectives remain unchanged since the IPO as our view of the business has not substantially changed. We, therefore, maintain the same longer-term outlook as we did at IPO.  With that being said, I would like to reiterate our financial objectives, which remain unchanged from our prospectus. We aim to continue to grow net revenue and achieve a compounded growth rate between the mid-20s and low 30s in the medium term. We aim to improve EBITDA margin to over 55% in the long term, and we aim to maintain a CapEx level of up to 5% of net revenue. We've posted these results and our accompanying shareholder letter on our website. This can be found at adyen.com/ir.  Thanks all for listening. Pieter and I are happy to take any questions now.
Operator: [Operator Instructions]. Our first question comes from the line of James Goodman at Barclays. 
James Goodman: If I look at the TPV run rate where you've helpfully provided some data, you were broadly flat in the final weeks of the period with the January index level. Presumably given the better mix, net revenue was running above the January level though. So I wondered if you could maybe quantify that and then if I think back to the Q1 update, where you gave us some volume data, you gave us some data post the period end. And I wondered if you could give us a sense of where TPV has been trending in the nearly two months post the end of the period?
Pieter der Does: Thank you, James. So if we look at processed volumes, of course, we are very happy to see that volumes are sort of the same level as the start of the year from a run rate perspective. So I think it proves the resilience of our business. Of course, we lost a lot of travel volume, and this was compensated in other verticals. Going forward, of course, it really depends on what will happen in the next couple of months. We're very positive on the medium to long term. That's also how we build the business. But I think it's difficult to say what it exactly means for this year. We, of course, are happy with where we are by the end of this second quarter and we, of course, hope to continue this trend and we feel we're ready also to help our merchants if a second wave, the pandemic, will be there.
James Goodman: Okay. Can I just ask if there was any specific reason why North America accelerated growth? Was that down to 1 or 2 large contracts ramping up or anything specific?
Pieter der Does: I think if you look at the different regions, it's mostly the result of a change in mix. So some regions had a different merchant mix than other regions. And as a result of this different merchant mix, also the pandemic has a different outcome. And for North America, our merchant mix has basically limited impact by COVID.
Operator: Our next question comes from the line of Adithya Metuku of Bank of America.
Adithya Metuku: So two questions. Firstly, just on the e-com structure versus cyclical trends. Obviously, e-com penetration has been going up and you guys have benefited from that. But as the economies open up and as people come back to normal over the next maybe 6 to 12 months, what proportion of that increase do you think will be structured as opposed to cyclical? Any thoughts around that, just more generally as well, not just looking at your volumes based on the merchants that you're talking to and the capacities you're deploying, et cetera? And then I have a follow-up.
Pieter der Does: Yes. We clearly saw the trend that merchants who have both a store and online sales channel that the lockdown let the lack of volumes in store were compensated by the online transactions. So that part is likely to revert back. On the other hand, there were also merchants who did not have an online strategy, who were hesitant, felt that it didn't fit their brand maybe. And they opened up an online channel. That part will not go back. So whereas it's difficult to say the exact numbers, we see both. We see compensation in online sales for closed stores, and we see indeed, the answer to your question, new merchants. Merchants opening up new sales channels online, which will not disappear.
Adithya Metuku: Understood. And just my follow-up on the cost increase. Ingo, you said earlier that the cost increase was driven by the annualization of the hiring that happened last year. Can you talk a bit about how your hiring has gone through over the first half given COVID has that really slowed as given the difficulties we're doing interviews, et cetera? And if it has, should we factor that in as we look out into 2021 given the effect seems to come with a lag?
Ingo Uytdehaage: Yes. Sure. So if you look at the hiring, we continue to hire in the first half, and we're trying to find ways to onboard people successfully, for instance, through Zoom. Of course, the pace of hiring went down a bit because it's more difficult to relocate people. At the same time, we try to continue hire also at the moment and for the second half of this year, because we strongly believe in the long-term success of this company. And as revenues and costs are basically unrelated, we need to invest in the future to make sure that we are ready for additional growth in the future.  And of course, it's very unfortunate that in other industries, companies have to let people go. And of course, it's also an opportunity for us to look at talent and offer them a job at our chain. So that's also the strategy for the second half. And of course, one of the key areas in the past where we focused on is to maintain our culture, and that's what we continue to focus on. Also as management board, we still see all final candidates or all candidates in final rounds through Zoom, but we will continue to do that also in the future.
Adithya Metuku: Understood. Just a quick follow-up, if I may. So if you were to compare the number of people you made offers to in the first half of last year and the proportion of your employee base and compare that to what's happened in the first half of this year, what does that look like? Will it be similar or will it be very different?
Ingo Uytdehaage: I think on the top of my head, it is relatively similarly. So we continue to hire. Of course, the hire in the first half would have been higher if there had not been any COVID impact, but I think the relative bay -- or the relative part is almost the same. We can look in more detail, if you like, but that's a high level of what we see.
Operator: Our next question comes from the line of Nooshin Nejati of Deutsche Bank.
Nooshin Nejati: Three on my end, if I may. Firstly, again, on your OpEx. I understand the strategy of investing in your headcount for further growth. But can you give us some light as how long this elevated OpEx will continue? Is 10% of sales a new run rate? And secondly, you gave an update until week 26 of the year on your volume. Can you tell us further details on your travel volume for the month of July and maybe the first week of August, like what's your observation? And lastly, do you have any update on the insurance business. Have you started onboarding merchants? What is the traction here? And how does the pipeline look like?
Ingo Uytdehaage: Well, we see the elevated OpEx as an investment in the future. Of course, we want to make sure that we do this in a responsible way. And of course, We've no intent to have a big drop in EBITDA levels. But if we see good opportunities to invest in the team, we will.  And if you look at travel volume, of course, it's very hard to predict what travel will do in the next couple of months or quarters. You probably have seen the same trends around the world as We've. So it's too early to tell what is going to be. Of course, the trend that We've given in the shareholder letter, you see a rebound. Well, I think also based on what you've noticed in outside world, there's no reason to assume that, that trend is completely different in July. But I don't want to speculate too much on H2 at the moment. Then on Issuing, Pieter, you want to say a few words on that?
Pieter der Does: Sure. Issuing, what I think is -- what is good is that Issuing is live now. We're running it in tests. We're doing transactions. The contribution at this moment to the numbers is, of course, not significant, but it's a product where the feedback is very positive on, which we really believe in.
Nooshin Nejati: So you see a lot of demand from your other merchants basically for this Issuing business?
Pieter der Does: Yes. There's a demand from existing and from new merchants. We've developed it, for example, for marketplaces. But this, again, we are in pilot. So it's very early days.
Operator: Our next question comes from the line of Mohammed Moawalla of Goldman Sachs.
Mohammed Moawalla: I had two questions. First one was on unified commerce. I think I recall at the time of Q1 when the pandemic broke, some of the conversations you were having customers were sort of put on hold. Can you give us a sense of how those conversations have restarted and how has the customer's mindset and strategy shifted? And as a result, how does your pipeline look? Because in a kind of post pandemic world, as Adyen is used kind of across channel, does this significantly open up new opportunities for you? And as a result, whether We've a second lockdown or not, how do you expect that to sort of impact the growth?  Second question was on basically eBay. The contract, I believe, is now kind of in full ramp up. Can you give us a sense of how that's going? And what sort of percentage of sort of eBay you expect to capture over the sort of coming years?
Pieter der Does: Yes. All right. So indeed, what you see with -- the effect of the pandemic has been that merchants have been postponing some rollouts. On the other hand, you also saw merchants with a direct need to start up an online channel. So it was very busy for us. So it's not that things slowed down, other things changed. As a result now of reopening in various parts of the world, we also see that those rollouts now are being picked up again. So that element is reversed with the speed of where markets are opening.  Pipeline, the pipeline build is very healthy. Although, of course, our salespeople would do much rather face-to-face with merchants. This also works for us. So we are capable of building the pipeline as usual. Regarding eBay, so eBay has made positive comments about our partnership, and we're obviously very pleased with it. It's only just a few months ago that the PayPal exclusivity expired. So this is a ramp-up, which eBay is the driver of. We are fully ready to do it and very pleased with the relationship, which is good. So the results of that remain to be seen over the next years. Just as a note, it's a great and profitable contract for us, but it's not the only deal. This is amongst all the other things we're doing.
Mohammed Moawalla: Great. And if I could squeeze one more in on just back on the Issuing. Can you talk about sort of the use cases? Is it sort of prepaid cards that you're sort of doing for some of your merchants? And any sense of sort of take rate differentials versus the traditional payment processing you do?
Pieter der Does: Use cases. There are two questions. The use case, you think more about where -- if you run a service like Logo, where you let people pick up stuff, you can, at the moment, fund a card real-time when the transaction is being done. So then there you can have with such a modern issuing cut from a very precise way of managing your business. You can do that in multiple geographies because we've the background of running a single platform across regions. That means that this is not either a U.S. or European platform, that this works across the world. Good question about how should I compare revenues or income from this product versus acquiring it, it's too early to make that comparison.
Operator: Our next question comes from the line of Sandeep Deshpande of JPMorgan.
Sandeep Deshpande: I have two questions. The first one, Pieter, if you see the growth of some of the traditional retailers in the last quarter, I mean, very, very high-growth in online. I mean, historically, your customers have been the Internet e-commerce retailers. How much emphasis are you putting on onboarding some of these traditional retailers who may want to use some of your e-commerce technology, and of course, you have in-store technology as well, so your unified platform? And so in terms of your future customer base, I mean, is this an important part of it among the large retailers?  My second question is on your cost base. I mean, your cost base grew in the first half of the year. Clearly, you have opportunities to invest in. And do you see, I mean, further regional investment opportunities into the second half or into 2021? Or is it that the opportunities from here are going to be more technology, that you need to invest in some newer technologies or something like that, which will keep the OpEx up at higher levels? So because, I mean, in the short run, of course, you will possibly have some continuing impact on the impact on travel, et cetera. But then in the long term, I mean, I don't think the cost base will be the driving factor of the EBITDA.
Ingo Uytdehaage: Yes. Let me say a few words. So if you look at large retailers, we are, of course, very much focused on making sure that we can help them. And of course, it depends a bit on how they come to us. Sometimes, we're already live with them on the online side. And then given our success in point-of-sale, they reach out to see if we can also do the physical stores. But indeed, it's also the other way around where they want to work with us for a physical point-of-sale because they know that we already can do online. So it's a very important vertical for us going forward. We continue to invest. And this is also what you will see in the future.  On the cost base, I think the way how we look at managing our company is that we want to make sure that we invest in the future of the company. We are all very much long-term focused. We never take decisions that only lead to short-term optimizations, and it is relatively easy for us to get to 55% EBITDA margin, if we want to. But that would mean that we would stop hiring and then we would get quite quickly to this 55%.  The main reason why we continue to do this is because we believe that we can easily, by investing in the business, get to more growth in the future. And as long as management really believes that we can do this, we will continue to do this. And of course, we always ask ourselves like whether it is going to benefit us. So we don't want to make any irresponsible investments that have a very negative impact on our profitability.
Operator: Our next question comes from the line of Adam Wood of Morgan Stanley.
Adam Wood: I've also got a few, if I could. Maybe just digging in again on the Issuing business and the strategy there. I guess to start off, that's going to be very much issuing cards to corporates to pay on to other corporates. Is there a model there as well where that could go to quasi consumers so you could think about eBay merchants, Uber drivers, Airbnb hosts as potential options? I guess travel is quite important for that, the OTA market, in particular. Do you need travel to come back for issuing to scale? Or is there enough opportunity, for example, as you described on food delivery, to be able to improve that business?  And then maybe just finally on Issuing. On the differentiation of that business, could you talk a little bit about whether you can manage the whole reconciliation process across the acquiring and issuing platforms of the businesses to help them do that. Is that one of the big value ads and differentiation versus other people that are coming out of this? And then moving away from Issuing, if I could just on to the mid-market side. Could you talk a little bit about the strategy there. Is that very much going to market with partners? And if so, how do you manage the profitability risk and then the support for those customers going forward?
Ingo Uytdehaage: Okay. Thanks. So to start with Issuing, we closely work with our merchants to develop the product. So innovation that takes place is in close cooperation. The first and most easy step is to go into the business-to-business space, whilst, of course, longer term, you could think about indeed more the business-to-consumer space for our biggest merchants. That's, I think, a very logical step. And of course, if we see the right opportunity, we will have a look at it. It's exactly I think in the end why we want to do it. It's because we want to help our merchants. So depending on their ask, we will work closely with them.  So that also, I think, answers the second part of your question around is it only travel-related. Well, certainly not. I think there are many other potential use cases for Issuing that we can work on and that's also why we continue to invest in it. We are, I think, overall, very surprised by the feedback on this product. People really like to see what is possible. And therefore, we've good expectations on this product, but it will, of course, take time to build it. If we then look at how do we differentiate ourselves to other players, I think the main approach that we take is the single platform approach, so single platform in multiple regions that is going to help us. Of course, we can do a lot around linking the issuing and the acquiring together, and making sure that the funding of these two is optimal. So that's certainly a benefit of having a single platform. Then on the mid-market strategy, we're taking a couple of routes there. One of the route is going directly to mid-market merchants and pitch them, but indeed, we also work with partners. And those partners are important to us because they can bring the acceleration. And depending upon the type of implementation and how much risk they will want to take, we've different type of partnerships.  So in the end, the way how we look at it is that we want to be invisible in the background and depending upon how much risk we like to take or the partner likes to take, we also think about the economics. So we want to be flexible in line with the risk of the business model. That's, I think, how we look at it and how we also do the commercial negotiations.
Operator: Our next question comes from the line of Hannes Leitner of UBS.
Hannes Leitner: I have also a couple of questions. One is to start with -- is a follow-up on the eBay. PayPal has provided quite detailed volume numbers from the eBay relationship historically and I think eBay also in terms of the market managed payments opportunity. Could you talk a little bit about the GMV? Is there any restriction from the current eBay volumes? Is there anything to exclude, like in the past, PayPal has been excluded from? That's the first question.  The second question would be on your post inventory. There was quite a spike in inventory level in H1. Is this in any relation to your hiring that you need more people on the ground to then install terminals given some pipeline looking into next year? And then maybe the last question is around the other services. Other services remain resilient, flat year-on-year and just a modest decline. Sequentially. Could you talk a little bit about the breakdown? What are the biggest parts of the other services? I guess, Issuing is one element, 3D secure, et cetera?
Pieter der Does: On eBay, so there was a limitation in how much volume they were free to route. That is since this summer that has gone. So now it's a matter of migration. And of course, for PayPal, it's an important number, how many people will use paper as a payment method. But indeed, there is no legal -- the contract is expired where eBay was bound to limiting their volume shift. Ingo, do you want to take that?
Hannes Leitner: And Pieter, I didn't mean the restrictions of the kind of real cards. I meant rather more the addressable market within eBay. So last year, I think it was only 70%, 75% of the total eBay volumes of the reported GMV was addressable market to PayPal. And on this side, could it be that actually because of, let's say, VAT and other commission payments that, actually your addressable market is higher, is above level?
Pieter der Does: I'm looking at Ingo for that.
Ingo Uytdehaage: Yes. Let me say a few words on this. I think if you look at the total addressable market, just in general, for platforms, we see a lot of opportunity. Of course, we always try to avoid talking too much about single merchants. Of course, eBay is very important merchant to us, but there are other platforms that we like to work with. And I think, in general, if you see like the development of platforms, there's an increase in potential addressable market that we want to capture. So we continue to invest in the product and making sure that we can help the different type of platforms.  Then your question related to point-of-sale. I think if you look at the hiring, the hiring that we do is a combination of tech people. So engineers that build our platform, that are in the implementation part of our business, but not necessarily in the installation of terminals. That's outsourced to partners. We don't do this ourselves. And also We've a different model than more traditional parties. If we need to do update, for instance, on terminals, we can do this remotely. So we don't need like big staff on the ground to get point-of-sale terminals running, and that's helping us.  So I would say that the hire increase is not related to point-of-sale. It's more related to the general growth of the business and investment for the future. Then revenue that we recognize under other services, that includes, for instance, the terminal service fees. So the fees that merchants pay on a monthly basis, it includes the margin that we make on FX and also Issuing where that's not significant at the moment.
Hannes Leitner: Okay. Maybe just the last question to squeeze in is do you have any sense how much of your Q2 volumes were supported or were cushioned by refunds, processing fees?
Ingo Uytdehaage: Well, of course, if you look at refunds, we're mostly talking about travel. Of course, there was some impact in travel for refunds. But I would say on the total, this has not been super significant.
Operator: Our next question comes from the line of Ron Heijdenrijk of ABN AMRO.
Ron Heijdenrijk: A few questions from my side. To start off with the cash flow statement. When I look there at the payables to merchants and financials institutions, that balloons in the first half of this year. Is there a specific reason for this? Have you made a change in risk framework or something like that? Then secondly, on your revenue growth in the U.S., you recorded almost 60% in net revenues and revenue growth, but 77% in gross revenue growth. And I would have expected it to be the other way around given that you can now acquire directly rather than using a BIN sponsorship. So are there any one-offs in this?  And then on the FTE growth, again, strong growth in the first half of this year. Could you indicate what would be the right size for Adyen with regards to employees? And then finally, maybe can you share some words on the competitive environment post-COVID-19? Have you seen any significant changes there?
Ingo Uytdehaage: I'll take the first questions. If you look at the framework around payrolls to merchants and financial institutions, we haven't made any changes there. That amount fluctuates with basically the day of the week. So it's mostly related to timing. We pay out our merchants on a daily base. And depending on where the month ends, you get different outcomes.  Then revenue versus net revenue. Most of the differences in revenue versus net revenue is related to the interchange, and interchange is different in the different regions of the world. So depending on where we grow, gross revenues can grow faster than net revenues because We've an interchange cost pricing to our merchants. So we just pass on the interchange. We recognize this in our gross revenues, and we only recognize net in our net revenue or the margin on net revenue.
Ron Heijdenrijk: Ingo, if I may, I was solely talking about the U.S. here. So unless there's a major shift in the payment method mix, it's somewhat strange. So I'm not talking about the differences between geographies, purely in the U.S.
Ingo Uytdehaage: Yes. But in the U.S., you were referring to ending a BIN sponsorship, which is not the case. So we don't see that as an impact. Of course, what could be -- of course, there's always a mix of like which part of fees is cross-border and what is local. So of course, merchants that we work with typically like to go local, which has lower interchange fees than if you go across border. But I'm not sure if you are referring to that.
Ron Heijdenrijk: No. No, I was just wondering. And I thought that the bin sponsorship might have an impact, but you say it hasn't.
Ingo Uytdehaage: No. Not exactly. And then, yes, if you think about the right size of FTEs for Adyen, I think the question is like, if you look at this addressable market, it's just very, very big. So we see no limitations, basically. So the key question for us is like, how can we build a global business in the different regions without losing our culture of speed? And that is the management's task that we basically have and that we try to execute as best as we can. So it's very difficult to say, like, what is the right size. I think the key question is like how fast can we grow the company in a responsible way without losing that culture. And then on competition. Yes, I think if you look at competition, we haven't seen like a real change in competition after COVID. I think we're still in the middle of this COVID wave. We've always seen different type of competitors in different type of the verticals. If you look at where traditionally payment volumes is, it's mostly with incumbents and local banks. And we continue to help merchants to bring innovation. So we see still a lot of opportunity and do not fear additional competition as a result of COVID.
Operator: Our next question comes from the line of Alexandre Faure of Exane BNP Paribas.
Alexandre Faure: I've got two questions, if I may. Firstly, on your gateway volumes or, say, the nonfull stack volumes. I think there were relatively stable year-over-year in the first half in absolute terms. And that is despite, I suppose, the airlines doing quite badly. So you mentioned in the shareholder letter quite a few other situations where you would process gateway-only. Just wondering if you could help us size each of those buckets? So that would be my first question.  Secondly, on your Q2 net revenue growth, I think it was something like 20%, 21%. I was wondering if you could help us understand which category were outperforming that, what was growing in line. I suppose travel was quite poor. Just trying to understand how strong it was excluding maybe the most problematic segments such as travel, Uber, your post exposure or anything like that.
Ingo Uytdehaage: Okay. If you look at our gateway-only business, most of that bucket has always been airlines. And of course, as a result of COVID, most of that traffic has gone now. Then if you look at the other buckets in gateway-only, it's mostly the payment methods where we do not settle the funds directly to the merchant. And they must think of part of AMEX volumes, American Express volume and part of PayPal volume. In certain PayPal or AMEX contracts, they prefer to settle directly with the merchant, and then we see this volume as gateway-only.  Then if you look at net revenue growth like where does it come from? Well, we are pleased to say that like previous periods, most of our volume growth comes from existing merchants. So it's very important to continue to work on new projects with our merchants. And of course, we also announced a couple of new merchants. So also fitting that or realizing that pipeline, making sure that new customers go live is, of course, very important for future growth.  In that respect, net revenue growth in the second quarter has not been impacted by COVID. We do exactly the same like before. Of course, the numbers are a bit lower, but the underlying trend that we see has not changed. Yes. And then if you think about the easing of lockdown restrictions and the impact, of course, it really depends on the type of merchants. I think for us, what is key is to continue to help our merchants. And it's very hard to see what exactly how this will pan out.  I think we've proven in the first half year that we're very resilient as a business, so if travel volume goes away, that there are other verticals that bring more net revenues. And we believe that we're really well-positioned for the future. That's also why we stick to our medium- to long-term guidance.
Operator: Our next question comes from the line of Jeff Cantwell of Guggenheim Securities.
Jeff Cantwell: When you talk to us now today about your investments and you talked about planning with a long-term focus, my question is, has that focus changed at all as a result of what you're seeing from consumer and merchant behaviors during the pandemic? Because surely, two years ago, when you were planning for Adyen's long-term, you weren't contemplating of a pandemic like we all do right now, right? So can you just talk to us? Has your strategic thinking maybe evolved at all based on what you're seeing over the past few months? Is there greater opportunity down market, for example? Is there a greater opportunity in Asia? Maybe it's full stack. Just any insights you can give us into how your strategic thinking has evolved would be very helpful.
Pieter der Does: So indeed, we always had a long-term view, and that's also what we take here. If you look there's always an impact of COVID. And how we look at it, this COVID, is of course, have an economical impact and some of our merchants are suffering from that. But what's also important is that COVID is pulling forward trends which were already happening. And in that sense, it can speed up change. And that change is often in our favor because that has changed in unified commerce, where you have the channels working well together. It's the change from cash to cashless. So therefore, we decided not to hold that, and you also see it in our hiring. We ramped up for further growth and continue to invest in the business as we see the opportunity. And that's the strategy which fits with indeed taking the longer-term view.  So yes, the opportunity changed a little bit, and some things to our favor. Although this, of course, is a very unfortunate situation. And we are hiring for that opportunity also, and Ingo mentioned it before. There are very talented people in the market now and we'd like to hire them and give them a place within our company. So we also see it on the HR side as the right moment to onboard talented people.
Jeff Cantwell: Great. And if I could just ask a related follow-up. I understand that it's very early days but you seem like the right person to be asking this question. The question is, do you think EPI has a real shot at gaining traction in Europe? I was just curious if you could weigh in on that.
Ingo Uytdehaage: When you're referring to EPI, what are you referring to exactly? Just to make sure is that new payment initiative?
Jeff Cantwell: Yes. The new payments initiative for -- a potential new layout for payments. I'm just curious. Because the reason I'm asking is because you see so many different forms of payment -- form factors of payment, and obviously, this one has been getting a lot of investor focus. So I thought you might have some comments on how that might eventually play out, call it, over the longer-term since we were thinking through longer-term impact to your business. So just any thoughts on that would be great.
Ingo Uytdehaage: Yes. So I think there are always companies or initiatives to develop new payment methods. That's been around for 20 years now since e-commerce started. And, of course, it's always very difficult to get real traction there. Of course, if you have such a group of banks trying to pull this off, you might end up with some success. But then we, of course, will see how we can help our merchants to implement it. And so making sure that they also have access to this payment method.  The whole idea that a single payment method would instantly replace all the others is just very unlikely to happen. I think it's exactly why we're successful as a company. Typically, this only leads to an increase in complexity, which we try to take away from our merchants.
Operator: Our next question comes from the line of Julian Serafini of Jefferies.
Julian Serafini: I have two questions. But first, I want to revisit on card issuing for one moment. Can you perhaps discuss the pricing strategy around card issuing, if there is one? Essentially, what I'm asking is, could there potentially be a shift in profitability? Basically, if an Adyen card was used in Adyen-acquired gateway or POS with the VA pricing concession, is that part of the strategy of closing that payment?
Pieter der Does: Yes. Yes. An Adyen issued card, the interchange there is that -- that is an amount of money that can be split between us and the merchant. So there is more to get there. How we implement that split is dependent on the commercial negotiations.
Julian Serafini: Okay. But it's something you'd be willing to entertain or do at least?
Pieter der Does: Yes. Sure.
Julian Serafini: Okay. And then I guess, second question on Alibaba. You did announce Alibaba partnership last year. Can you provide us any update around that? And can you quantify perhaps how it's contributing to your results at this point in time?
Ingo Uytdehaage: Yes. If you look at Alibaba, we process payments for the activities outside of China. Of course, like many other customers that we work for, we are very pleased that they are a customer. I think it's a proof point that combination of accepting cards and local payment methods is the way to go. And of course, given the type of company and their growth, we're very pleased to see this development. Of course, we want to avoid to give any specifics on a single merchant, I hope you understand.
Operator: This was the last question. I will now hand over to Pieter for closing comments.
Pieter der Does: Sorry, I was on mute. That's completed. So thank you, and good afternoon, everyone, and thanks for joining the call.
Operator: Ladies and gentlemen, this concludes the Adyen First Half of 2020 Earnings Call. You may now disconnect your lines, and have a nice day.